Operator: Good morning, everyone, and welcome to the WestRock Company Fiscal Q1 2022 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note today's event is being recorded. At this time, I'd like to turn the conference call over to James Armstrong, Vice President of Investor Relations. Sir, please go ahead.
James Armstrong: Good morning, and thank you for joining our first fiscal quarter 2022 earnings call. We issued our press release this morning and posted the accompanying presentation to the Investor Relations section of the website. They can be accessed at ir.westrock.com or via a link on the application you're using to view this webcast. With me on today's call are WestRock Chief Executive Officer, David Sewell; and our Chief Financial Officer, Alex Pease. Following our prepared comments, we will open the call for a question-and-answer session. During today's call, we will be making forward-looking statements involving our plans, expectations, estimates and beliefs related to future events. These statements may involve a number of risks and uncertainties that could cause actual results to differ materially from those we discussed during the call. We describe these risks and uncertainties in our filings with the SEC, including our 10-K for the fiscal year ended September 30, 2021. We will also be referencing non-GAAP financial measures during the call. We have provided a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures in the appendix of the slide presentation. As mentioned previously, the slide presentation is available on our website. With that said, I'll now turn it over to you, David.
David Sewell: Thank you, James, and thank you all for joining our earnings call today. We have a lot of new and exciting updates to communicate this quarter. First, I'll provide a high-level overview of fiscal first quarter results. After that, I'll walk through our new segment reporting structure, which went into effect this quarter and explain the rationale for this change. Lastly, I'll update you on our broad-based transformation approach, which is underway and provide examples of the significant opportunities we see to deliver a step change in performance for the business. Following that, our new CFO, Alex Pease, will provide a deep dive into our quarterly performance for our newly organized segments and other critical financial performance. We will then move to Q&A and answer any questions you may have. We started our fiscal year off with a solid quarter that was in line with our expectations and within our guidance range. Despite continued supply chain disruptions, higher inflation and increased absenteeism related to COVID, we executed well. I want to take a moment to thank our 50,000 teammates around the world for their dedication and hard work during the quarter. For the fiscal first quarter, sales were $5 billion, up 13% year-over-year. We delivered consolidated adjusted EBITDA of $680 million, up 2% over the same period and adjusted EPS came in at $0.65 per share, up 6.6%. During the quarter, we also continued to aggressively buyback stock, repurchasing roughly $100 million worth of stock while maintaining net leverage of 2.4x, well within our desired range of 2.25x to 2.5x. As a reminder, the first quarter was a record maintenance quarter for WestRock. We had a number of projects delayed from previous quarters due to COVID and the ransomware incident last year, and I'm pleased to report we completed all scheduled maintenance projects safely. COVID continues to cause disruptions, impacting labor at our mills and box plants as well as further contributing to ongoing supply chain challenges. Despite these challenges, we are resilient and continue to execute well as demonstrated by our strong results. Finally, demand for our products across consumer, corrugated, machinery and other product lines remain strong and our backlogs are near record levels. Let me now provide an update on our new reporting structure. I'm on Slide 4. As a reminder, WestRock previously reported in two segments: corrugated packaging and consumer packaging. We are now reporting in four segments to provide greater visibility into the integrated performance of our packaging businesses, while we focus our merchant paper business on critical strategic markets as well as providing material for the packaging converting businesses. This new structure will help us highlight the performance of all elements of our portfolio. We reorganized into the following segments: corrugated packaging, which includes integrated corrugated converting operations and represented 44% of first quarter sales; consumer Packaging, which includes integrated consumer converting operations and accounted for 23% of first quarter sales; paper, which includes all third-party paper sales and made up 27% of first quarter sales; and distribution, which includes our distribution business, which is roughly 6% of sales. As we reported in our press release, we will see clearly the benefit of vertical integration between our mills and converting businesses as well as the value of a diversified portfolio of assets. Perhaps more importantly, this new structure will further enable an enterprise sales approach to drive growth as well as greater efficiency and synergy to improve profitability. I will describe this in more detail shortly. In our press release and located within the quarterly features section of our Investor Relations website, we have provided eight quarters of recast results to help you better model performance going forward. Let me now spend a few minutes on where WestRock is today and where we are headed. Please turn to Slide 5. We have been driving a comprehensive strategic review of our markets and our go-to-market approach. In parallel, we have taken a hard look at all our assets to evaluate their merits and their position in the portfolio while also evaluating our ability to drive to a greater level of operational excellence and profitability and we're already making progress. We've made significant strides in the integration of our consumer business and have implemented productivity improvement plans across the company. And the restructuring of our mill assets into one organization is already providing greater production flexibility across our footprint. I will share a more fulsome perspective in the future, but suffice it to say, we have significant opportunity. We have not fully integrated many of the acquisitions we have made. We need to turbocharge our digital strategy, not just in the back office but also in manufacturing and innovation. We have elements of the portfolio that are non-core to our integrated strategy and we have inefficiencies that must be addressed. Our profitability and our ROIC are not where they need to be. This is going to change as we implement our transformation plan. Importantly, our senior leadership team is aligned and is mobilized to drive this change. Together, we have developed this transformation plan and have shifted into execution. At a high level, our plan includes three overarching priorities. Second, drive a step change in our margins through pricing excellence, productivity, mix management and cost control. We are implementing our new WestRock operating system that standardizes our systems and utilizes our digital tools to identify options to drive efficiency and do things even better. And third, generate consistent ROIC in excess of our cost of capital through disciplined investment, operational excellence and portfolio optimization where appropriate, while maintaining strong free cash flow, significant balance sheet strength and prudent capital allocation. Let me provide an update on each of our three strategic priorities. Our growth agenda is designed to maximize the value of the complete packaging solutions only WestRock can provide. Our combination of consumer and corrugated packaging, paper, machinery and access to distribution is unique in the industry and a strategic differentiator. It enables us to sell integrated solutions that are valued by our customers and partner with them to ensure that they are responsive to macro trends such as sustainable packaging. With our portfolio, we have the capability to deliver full packaging solutions that are unmatched in our industry. General Motors is a great example of this, and we were just recognized as our supplier of the year. With GM, we have partnered to provide options for brand security that help combat counterfeiting issues in the supply chain process, we produced their primary parts packaging and secondary corrugated packaging using our global manufacturing footprint to ensure they have the right supply and the right place when they need it. Innovation and plastic replacement continues to be a growth driver. We also can anticipate customer needs and introduce new products that support enhanced sustainability. This quarter, we announced a partnership with Grupo Gondi in Mexico to provide our CanCollar product to ABI Mexico Grupo Modelo. This expansion of CanCollar is an exciting development and one that demonstrates the growth potential of our sustainable products. Our integrated one enterprise approach is driving value, and we are continually working to maximize this value while minimizing our exposure to lower-value markets. To that end, we've completed the first phase of our portfolio analysis and I look forward to sharing more about this soon. Let's now turn to how we are going to drive margin improvement. Historically, our margins in corrugated have been 18% and 16% in consumer, improving both as a key priority. As we begin our journey of developing an enterprise-wide operating system, our first focus has been quantifying the opportunity and identifying areas to tackle. In recent months, we have standardized the measurement methodology in our operations and have identified significant opportunity to expand capacity without adding capital. We have evaluated our asset footprint and see warehousing and logistic opportunities that we are optimizing. We are also investing in our business to increase our level of integration and introduce automation, predictive analytics and other cutting-edge digital capabilities into our network. To that end, we are constructing a state-of-the-art corrugated converting plant in the Pacific Northwest that will be cutting edge in efficiency and throughput. This is just one example of many that we are excited to share. Please now turn to Slide 8. We are aggressively focused on improving our ROIC in excess of our cost of capital. While improving our productivity is an important part of the equation, capital deployment and capital utilization are equally important. Through our initial diagnostic work, we have identified opportunities to expand capacity without adding capital. We have looked at our portfolio and identified non-core assets that don't meet our return thresholds, and we have implemented a disciplined approach to capital deployment that directs our resources to only the highest return projects. We are focused on ongoing efforts to drive best-in-class returns in our portfolio. And lastly, our senior leadership team now has an explicit ROIC component to our long-term compensation program. Additionally, we are laser-focused on generating strong and consistent free cash flow and maintaining substantial financial flexibility in our balance sheet. This strength enables us to invest in our business through all business cycles and also reward shareholders consistently. To that end, we have aggressively paid down debt over the past several quarters and have increased the dividend twice in the past year. Our intent is to reinforce our commitment to a stable and growing dividend while also continuing to aggressively repurchase WestRock stock. As a reminder, in Q4 of 2021 and Q1 of 2022, we have repurchased approximately $223 million of stock as an initial down payment on this strategy. With our very strong free cash flow generation and our current valuation level, we intend to get more aggressive on our stock buybacks and are targeting repurchases up to $500 million over the next several months. We will continue to monitor short-term fundamentals that provide the best return opportunities for our capital allocation. A lot of exciting change is underway at WestRock, and I'm convinced about the significant value creation opportunities ahead for our company. We are committed to executing our plan to drive enhanced shareholder value and our team at WestRock is motivated and enthusiastic about what is ahead. We are focused on growing through innovation with new sustainable products and digital engagement tools that our customers and our consumers need in today's marketplace. We have a new transformation office in place that is driving rigor in all that we are doing, including standardizing key operating and performance metrics across the asset base. We have brought in a new supply chain leader, Peter Anderson, who is aligning our supply chain operations across the company with a focus on greater productivity and cost savings. And finally, I'm excited to have Alex Pease join us as CFO, effective November 2021. With over 20 years of experience in corporate strategy, M&A, capital markets, portfolio optimization and broad-based business transformation as well as extensive public company experience, Alex has already proven to be a strong partner. I'll now ask Alex to provide the detailed rundown on our performance. Alex?
Alex Pease: Thank you, David, and hello, everyone. I'm excited to be here for my first earnings call as CFO. Before I review first quarter results in detail, I want to reiterate the diversity of opportunity that David described and reinforce the commitment to a fundamentally different level of performance. The opportunities to drive a step change in margin as well as significant ROIC improvement are real. And rarely have I seen the team is aligned behind the vision for the future is this one. While it's early in the process, I have every conviction that we'll be successful and look forward to supporting David and the team in the journey. And with that, let's cover results. Fiscal first quarter sales were up 13% to $4.95 billion and consolidated adjusted EBITDA increased 2% year-over-year to $680 million. Consolidated adjusted EBITDA margin was 13.7%. Price and mix positively impacted earnings by $600 million year-over-year. This higher pricing was mostly offset by $520 million in higher costs, including higher fiber, transportation and labor as well as the impact of the previously discussed high planned maintenance conducted in the quarter. As a reminder, the first fiscal quarter is the highest maintenance quarter of the year. In addition, we faced challenges with COVID related to freight and raw materials, which impacted our production output. Turning to Slide 12. Sales in Corrugated Packaging, excluding white top trade sales were up 11.5% year-over-year to $2.1 billion. Adjusted EBITDA declined 17% to $289 million giving the segment an adjusted EBITDA margin of 13.5%, also excluding white top trade sales. Price drove an additional $277 million in adjusted EBITDA year-over-year. However, this was more than offset by $230 million in inflation due to labor challenges with COVID-related absenteeism and logistics issues as well as $63 million of lower productivity and $43 million of lower volume. The impact of the high level of downtime, both planned and unplanned, drove much of the volume decline. Following a strong first fiscal quarter of 2021, we experienced significant supply chain challenges in 2022 as well as cost inflation in most input costs and the higher fixed cost impact of the record planned downtime for the scheduled maintenance in our mill system. This was further impacted by lower productivity due to high COVID absenteeism and the introduction of inexperienced labor into our factories. We are actively working to address each of these issues and are anticipating that the business will return to more historical levels of profitability over the balance of the year with additional upside as we deploy the WestRock operating system that David discussed. During the quarter, our North American box shipments were 3.7% lower year-over-year, driven by our record mill maintenance levels, COVID-related slowdowns and continued disruptions in the supply chain. However, backlog for the Corrugated Packaging business remains very strong. If we could have made more, we certainly would have sold it. Over the next two quarters, we expect additional pricing to flow through our Corrugated Packaging business from the previously published price increases. As a reminder, this only includes pricing that has already been published in pulp and paper week. Turning to the Consumer Packaging business on Slide 13. Sales were up 7% year-over-year to $1.1 billion, though adjusted EBITDA declined 3.4% to $169 million in the quarter. Adjusted EBITDA margins were 14.9% for the segment. As in Corrugated, better price and mix added $50 million to adjusted EBITDA. Also improved productivity and better volume drove $14 million and $6 million of higher adjusted EBITDA respectively. However, higher fiber, transportation and labor costs as well as the high maintenance level negatively impacted earnings with total inflation of $76 million more than offsetting the other improvements. Consumer backlog remains very strong at five to seven weeks, and we continue to implement the previously published price increases across all consumer grades. The production of COVID test kit packaging is contributing to the strong backlogs in Consumer Packaging due to the recent announcement by the U.S. government to offer free COVID test kits to every household in the country. Turning to Slide 14. Revenue for our paper business came in at $1.4 billion, up 24% year-over-year. Adjusted EBITDA was $232 million with an adjusted EBITDA margin of 17%. Adjusted EBITDA was up an impressive 53% year-over-year due to price and mix improvements with the flow-through of previously published price increases. Export markets were also very strong. While we face some headwinds with lower production levels and freight inflation, the paper business performed very well this quarter. Looking forward, demand and profitability for our paper products remain strong both in the independent domestic and export markets, highlighting the importance of certain strategic markets and the value of our diversified portfolio. Backlogs continue to be at historically high levels and for the remainder of the year we expect to achieve significant pricing as recently published pricing flows through our contractual business. On Slide 15, we show our distribution results. Those sales were up 7% to $325 million. Adjusted EBITDA margins fell to 2% from 5.4% last year, mainly due to supply chain issues and the higher cost to service customers driven by higher fuel and labor costs. Demand remains strong for our distribution business and is outpacing our ability to supply customers due to labor and supply chain challenges. Our free cash flow for the quarter was down significantly year-over-year, but much of this change was due to the reversal of the pandemic action plan that we had in place during the first quarter of fiscal 2021. Specifically, we were negatively impacted by the payment of short-term incentive compensation in cash versus the stock payment made in the previous year. Compounding that pressure, our strength in fiscal year 2021 led to a larger bonus payment as compared to the previous year when short-term incentive compensation was paid at threshold level. Finally, we had negative impact from the 401(k) match returning to cash payments rather than stock and the required repayment of the deferred payroll tax as part of the CARES Act. Though the quarter was highly impacted, we still expect to generate cash flows in excess of $1.3 billion as we progress through the year. Turning to Slide 17 and our financial guidance for the second quarter of 2022. We continue to implement all previously published price increases. We expect roughly flat sequential cost inflation as improvements in energy and OCC costs should be offset by higher freight, wage and other expenses. So we are past the highest maintenance quarter due to delays in mill maintenance earlier in fiscal 2021 along with our originally planned outages, we still have approximately 128,000 tons of scheduled downtime across our system in the coming months. These assumptions result in forecasted consolidated adjusted EBITDA of $780 million to $830 million and adjusted earnings per share of $0.94 to $1.08 per share. As a note, this guidance does not include any potential benefit from the $70 per ton price increase across our containerboard grades that we have communicated to our customers. Some additional assumptions behind our outlook include OCC costs down $10 to $15 per ton, natural gas costs down sequentially. Labor expense up sequentially due to normal Q2 merit increases, continued inflation in freight and logistics expense, a tax rate of 23% to 25% and diluted shares outstanding of approximately $267 million. I'll now turn it back to David to conclude before we move to Q&A. David?
David Sewell: Thank you, Alex. In closing, we're in the process of transforming WestRock into an industry leader that delivers consistent, strong results to shareholders through all operating environments. We are in the beginning phases of our journey to optimize our portfolio through operational efficiency, footprint optimization and growth investments. We've made substantial progress on these efforts already, made decisions about our path forward and continue to hire and develop key talent to help us advance our vision. We look forward to providing a deep dive overview of WestRock, our WestRock operating system and long-term targets at our 2022 Investor Day, which was previously scheduled for February. Given the current situation with COVID, we have decided to move this important event to May with the hope that we can meet in person. We'll share more details about Investor Day in the coming weeks, and thank you for your continued interest in WestRock. With that, let's move to Q&A.
James Armstrong: Thank you, David. Operator, may we take our first question, please?
Operator: [Operator Instructions] Our first question today comes from Mark Weintraub from Seaport.
Mark Weintraub: Thank you. Certainly appreciate all the details. Look forward to the deeper dive we'll be hearing about coming May or. So one quick follow-up question – well, first of all, can you give us a little bit of a sense at this juncture when the benefits of the actions that you're going to be undergoing? I realize it's going to be a process. But when is that likely to start showing up on the bottom line? Is that something that we should think next year becomes part of the driving process? Or even do we start to see that sooner? Or what type of timing framework?
David Sewell: Good morning Mark. And I appreciate the question. And – we have begun our journey, and I believe you will start to see benefits this year. We are implementing a new WestRock operating system. We were challenged in the last quarter between our heavy maintenance scheduled shutdown and really an unexpected COVID-related absenteeism with the supply chain. But we are already starting to see some of those benefits. If you take out some of those unique situations, especially in our consumer business, now that we've integrated the former MPS business with our consumer business, we've seen a lot of productivity improvements. We're starting to see that with our one mill organization and in our global paper organization. So we are starting to see them. There will be, we believe, material benefit to our profitability, and it will just continue throughout as we move forward. So I think we'll start to see a benefit this year. And next year, I think you'll start to see more material benefit as we move forward.
Alex Pease: Mark, just to add on to what David is saying, if you think about the guidance we provided, we are actually, as I mentioned in my remarks, anticipating a return to more normalized margins really across all the segments. And a lot of that is being driven by the actions that we're taking. So if you look at our full year expectations, you do anticipate margins being north of where they were last year, again driven by a lot of what David described.
Mark Weintraub: Great. And maybe just following up on that, I do see in the appendix, you have the same slide on guidance for this fiscal year. Should we interpret that as a reiteration that despite the COVID, the absenteeism and the supply chain issues that you highlighted that other things are happening ex-price increases, which haven't been established in PPW that should enable you to still be in that guidance range? Is that a fair interpretation?
Alex Pease: Yes. So I think David explicitly said that we were reaffirming our guidance for the full year. Just to give you some additional detail, we do expect a lot of the inflationary impact to mitigate over the course of the year. I think we said in the prepared remarks that we expect OCC at least sequentially for Q2 to be down between $10 to $15 a ton. Natural gas on a year-over-year basis will still be up, but sequentially over the course of the year will be down fairly significantly. Freight is really the one thing that we're continuing to battle. But as David mentioned, we've brought in a new Head of Logistics and Supply Chain with Peter Anderson, who's addressing that. So we expect to at least manage some of the freight impact to keep it roughly flat year-over-year. So yes, we are fairly confident in reaffirming our guidance for the full year and expect a strong print in the second quarter.
Mark Weintraub: Great. And just to reconfirm, I think that also you have mentioned that it's – and I think it was specific for this coming quarter or the current quarter we're in, but that it doesn't include anything from the containerboard price increase that's in motion. And I assume that the statements that you made about confidence on the guidance for the full year, that would be true, too, that it's not dependent on the $70. Is that fair?
Alex Pease: No, that's exactly right. And just to – since you mentioned pricing, I'll just add-on a little bit. We have been realizing in the order of $160 per ton as you've seen in the published pricing, and we've been successful in realizing most, if not all of that. We do have what we've communicated to customers. And we do have the impact of getting improved price realization as some of the national contracts roll over. And so we do expect pricing to continue to be a favorable tailwind as we get into the balance of the year.
Mark Weintraub: Okay, appreciate the detail.
Operator: And our next question comes from George Staphos from Bank of America. Please go ahead with your question.
George Staphos: Thanks very much. Hi, guys good morning. Thanks for all the details. Good luck with the transformation. Kind of one minor question shorter term, one, when should we get – I didn't see it if it was in the materials, additional volume disclosure as we used to have. And could you comment at all on how early fiscal 2Q volumes are going for you in your key businesses? I think you had said corrugated was down 3% in the last quarter. Did you have a comparison for cartons there as well folding cartons?
Alex Pease: Yes. I'll start, and then I'll let David comment on the velocity of the business as it relates to the beginning of the year. The reason we didn't provide the volume disclosure in the quarter really was just related to the new segment disclosure. The team has been working exceptionally hard to get all of the detail and all the transparency that you all need to update your models and so forth. And unfortunately, we just weren't able to get to that level of detail. But we anticipate providing that in the quarters to come. So nothing to read into that and I'll let David talk about the velocity in the business this year.
David Sewell: Thanks, Alex. George, as I mentioned earlier, we are seeing near record backlog levels. And so we feel really good about our demand from our customer base. Our backlogs are very strong. It's really just a situation of getting product out the door. So the better we come back from some of these COVID and supply chain disruptions, the better we can work down our backlog and get the volumes to meet our customer demand. So we feel very good about customer demand. We feel good about it, how it started the year.  It's just getting through some of these disruptions, and getting to a more normalized manufacturing position, freight situation so we can service our customers and get volume out the door.
George Staphos: Okay. So at this juncture, David, I'm taking it, you'd rather not comment on how volumes are partly because it's not really comparable because the supply chain, the issue. Is that kind of a fair sense?
David Sewell: That's exactly right. I mean the demand is there. The backlog is there. It's just how quickly we continue to be able to get production volumes to where we need them to be to meet that demand.
George Staphos: Okay, understood. Two maybe bigger picture questions, so WestRock has always championed the fact that it offers both consumer and corrugated product offerings to its customers. It has the systems and the machinery capabilities. You've certainly over the last couple of years, talked about sustainability. So as that's always been part of WestRock, what should allow you to maybe get even more progress and more margin to return from that strategy and that offering to the customer. What's going to change or maybe accelerate on that front? And why should we expect that? And then specifically to the Paper business, what's the goal? What's the strategy for this business longer-term? Ultimately, you want to improve vertical integration from what I recall, are you going to manage this business more for margin? And so we shouldn't necessarily expect it to grow because vertical integration is hopefully going to increase. How should we think about that business? And what will be success as you define it for that business? Thank you and good luck in the quarter.
David Sewell: Thanks, George. I'll take your questions one at a time. And first, I'll start with the corrugated and consumer business together. There has been, obviously, thoughts of should – is it better to be splitter together. And I would tell you that I have never been more convinced than I am now that we are significantly better together. And I mean that from a customer-facing standpoint, from a solutions that we can provide our customers, I think the General Motors is a great example, and that goes on and on. But what I think in getting to the crux of your question is, I think the other value that we have, which is the journey that we're on, where you're going to see the benefit both in margins and return on invested capital, is the work we're doing on our new operating system is we are going to really drive significantly better productivity and efficiencies with the scale and flexibility that we have in our model. This is something that's truly unique and from a strategic standpoint, where we can provide differentiation that customers value and that we can drive a better operating efficiency because of it. I think that is something that we want to continue to double down on.  And you will continue to see that margin and ROIC improvement as we continue to drive on the infrastructure. And we're already seeing it just in the short time that we brought the former MPS and consumer business together. It's amazing what we've done with some of that lower-margin business, driving the productivity, driving productivity at our mills now that we're one mill. So you'll continue to see that. And then to your second question, I think that ties right in is we really like managing our paper as one business that's aligned to our mill system. What that does is provide you the transparency that demonstrates our profitability. We like the profile it gives us with the flexibility to serve our growing packaging business, but also serve very attractive paper markets. And that market demand is growing, especially as sustainability being a key driver. So we do, and I've said in the past, we do want to reduce our exposure to the more volatile areas of the paper segment that we do externally.  So you will start to see us trim the market segments we go after that are more volatile, but we are a market leader in paper. And so once we trim that which we went through as part of our strategic and portfolio review, we like splitting this business out to we can demonstrate to you how profitable this business can be, the flexibility allows us in our mill footprint. I mean we have embedded flexibility in Longview, Dublin, Rapid mills to flex between containerboard and kraft paper markets and amongst our Charleston plants we can flex. So we have great flexibility in a changing market dynamic situation where we can optimize our profitability.  And just as one example, 10 states have banned plastic shopping bags and supermarkets. So the demand for kraft paper over the last couple of years has really been expensive. We have a leading position in kraft paper and our ability to flex mills to drive better profitability is really an advantage for us. So that's why we like to do this. That's why we think there's tremendous value in paper and tremendous value in the new structure that we announced.
George Staphos: Thank you very much.
David Sewell: Thanks George.
Operator: And our next question comes from Gabe Hajde from Wells Fargo Securities. Please go ahead with your question.
Gabe Hajde: Thank you. Good morning, David. Welcome, Alex. I wanted to dig in or get a little clarity on what I thought I heard was maybe capacity debottlenecking. And it wasn't clear to me in the past, at least that there have been kind of availability issues. So my question is, if you could maybe give a little bit of detail there if you're more talking about on the mill side or on the converting side, and then you also made some comments about warehousing and logistics optimization. And I think what I hear from that is maybe better velocity through the system and an impact on profitability, but potentially sort of a working capital need or build to enable that, so just maybe if you can expand on that?
David Sewell: Sure. Thanks, Gabe. I appreciate the question. I'll start with your first question. I was really referring to our conversion plans versus our mills is where we think we have untapped or unlocked capacity opportunities. As we introduce this new WestRock operating systems, getting very detailed metrics and continuous improvement, identification opportunities, we have found, especially in a very high-demand market like we're in today, that we can operate our assets much more efficiently. So we're going through a very detailed operational excellence program to drive better productivity, better throughput, better – quite frankly, better manufacturing planning, better asset utilization, that's really going to drive more volume through our current assets and get better operational efficiencies. So that's what I was referring to more so versus the mills. The second part of your question on warehousing and logistics, this is part of the, I believe, the value of untapped potential for consumer and corrugated being together. So if you were to go back, we were running our consumer and corrugated businesses separately, and we had separate supply chains. So now with Peter Anderson coming in, we've now created one common supply chain. So we can leverage now warehousing for both corrugated and consumer. We can leverage logistics for corrugated consumer and a one mill system as well because the mills were separated as well. So that's part of what I'm talking about the value creation that we believe we have that we're going to drive. And so that's kind of how we think about it that way. And then as far as inventories, I think our inventory position, it's kind of hard – I wouldn't even use first quarter as a metric because we just had trouble getting freight. We had trouble getting rail, we had trouble getting it out the door from our mills, especially in December. And then you throw COVID absenteeism in it at some of our box plants to unload. So it was just kind of a perfect storm. So there's no extra working capital that we see. We actually see this as a benefit for working capital.
Alex Pease: Yes. Just maybe just to layer on a little bit on the inventory point. So we did actually deliberately build about 96,000 tons of inventory in anticipation of the mill outages that we anticipated. So that was a deliberate step. If you think about containerboard inventory, it's basically at the healthy level. It has been running a little bit low. So now we're back to, I think, a more normalized level. SBS inventory was flat. And then we brought down some of the CNK inventory as we dealt with the transportation issues that David mentioned. So just to reiterate David's point, I think our inventory levels are healthy, and that is about where we'll maintain going forward.
Gabe Hajde: Okay. No, that's a great segue to the next question. I'll try to keep it brief. Can you talk about velocity through the system? And maybe to the extent that you might be carrying a little bit of, I'll call it, safety stock given these known delays, are you embedding – question number one, sorry, are you embedding an improvement in availability as the year progresses? And then number two, would you be willing to provide or quantify kind of backlogs in the consumer business at this juncture?
Alex Pease: Yes. Let me – I'll take a shot at it, and I'm sure David will want to add-on. Just to reiterate, I think we view our inventories at healthy levels. So I think that's the headline. We have seen congestion in the system related to the freight issues that David described. Largely, that's in roll stock, just being able to convert that to finished product. And so as we deploy the WestRock operating system and we get greater velocity through the system, we'll consume that inventory and basically deliver on the demand. I think y1our point on backlogs or your question on backlog. Backlogs are at a record level. We're not breaking it out by individual segment, I don't believe, but backlogs are extremely healthy, and we can sell anything that we get through the system. So that's one of the drivers behind, I think, the optimistic outlook for the year. So I'll let David add on anything he wants to add.
David Sewell: Yes. Thanks. Just we – as far as consumer, I would share, we are close to record levels at five to seven weeks, and that's growing our corrugated backlogs are higher year-over-year. So we still see strength there. So the backlogs continue to be healthy, and we don't see that slowing down.
Gabe Hajde: Thank you.
Operator: And our next question comes from Anthony Pettinari from Citi. Please go ahead with your question.
Anthony Pettinari: Good morning. David, you talked about your strategic vision for the paper business, which is very helpful. I'm wondering if you could share maybe some thoughts on the distribution business, how you would judge the performance of that business. And there have been a few large paper and packaging companies that have spun-off distribution arms over the past decade, kind of what does distribution add to WestRock as a whole?
David Sewell: Yes. Thanks, Anthony. I appreciate the question. With our distribution business, one of the things that struck me is in this new world of supply chain disruption, is the changing viewpoints of our customers on inventories and supplies with their suppliers. And so we are really seeing customers wanting predictable supply, security of local inventory and delivery. And so there's, I think, an enhanced value to distribution maybe than there was in the past from a customer viewpoint. And the pull-through is incredibly strong within our business. It's a great pull-through and just having that proximity to the customer is really critical to everything we do. To the second part of your question, our expectations is for a much greater margin expansion. And so we have undergone multiple projects to expand those margins to get them to higher levels of where we believe that distribution could be. So you'll continue to see margin expansion, but we like the proximity being – of the proximity of being close to our customer.
Alex Pease: One, just to add on we're focused on ROIC. And I think one of the interesting things about our distribution business, obviously, the margins aren't where we would like them to be, and we're going to improve the margin profile. But ROIC is still just under 10%, which is well in excess of our cost of capital. So I do think even with a narrow margin, given the lower capital intensity, it's not a bad business for us to be in. So I'd just add back to David's comments.
Anthony Pettinari: Okay. That's very helpful. And then you mentioned the Pacific Northwest box plant as, I think, an example of maybe a high-return investment. Just wondering if there's any kind of finer point you can put on that in terms of CapEx investment targeted return or maybe time line? And then as you look across your box plant network, understanding you have a great position at Longview. Do you see similar opportunities across the network to maybe construct larger greenfield box plants or consolidate box plant operations? Just any thoughts there?
David Sewell: Yes, we do. And we've talked about also vertical integration. So Longview does several things for us. It's going to be our – really a showcase in efficiency and automation and digital manufacturing. It's 400,000 square feet. It's going to be located on a site near a mill, which is right there. So it takes cost out of transportation. So you will see – and it's a very strong market for us right now, which is growing. So what Longview does is it's going to be a very high efficient manufacturing site. It's going to be close to our mill, which we like because that reduces our transportation. And it will be able to be a larger site to produce more volume to get that efficiency that we talked about. So as you look at our footprint around the rest of the North America side of our business, we'll continue to look at those opportunities, especially in large metro areas, where we can drive a very good return on an internal investment to be world class in our manufacturing to be close to our mill footprint and be closer to our customer.
Anthony Pettinari: Okay. That's helpful. I will turn it over.
David Sewell: Thank you.
Operator: Our next question comes from Phil Ng from Jefferies. Please go ahead with your question.
Phil Ng: Hey, good morning guys. David, great to see demand is quite strong, at least underlying backlogs are really robust. How do you kind of see these bottlenecks that are limiting your production levels performing? Do you see that improving sequentially? And when do you see that kind of normalizing over the course of the year?
David Sewell: Yes. Good morning. We do see that improving sequentially. I will tell you, especially in our corrugated plants, they just got hit really hard with COVID absenteeism. And then you throw in our record maintenance schedule that we had in the first quarter. So I think you'll start to see that improve sequentially. We've already seen improvement in our COVID absenteeism as we progress through January. So our expectation is continuing to get that our labor force back to continuing to improve our labor productivity, continuing to get the productivity at our mills with our uptime being higher, we think that will all flow through sequentially throughout the year.
Alex Pease: Yes. And just to give you a sense, I mean, historically, Q1 is sort of our seasonal low. And so I think you've got a bit of the perfect storm. You've got a seasonal low. You've got all the absenteeism issues that David is mentioning, the supply chain issues that David is mentioning. And then just really in the opening innings of the WestRock operating system. So if you think about the outlook for the year, we've baked in sequential improvement really over the duration of the year. So you should expect to see both volumes and margins improve as we get into the balance of the year.
Phil Ng: Yes. No, that's great. I mean just given the absenteeism, I thought your fiscal 2Q guide was pretty solid. So you guys are operating quite well in this tough environment. David, just given with the new segments in place, as you kind of embark these efforts to better integrate consumer and corrugated, how is that process stacked up relative to your expectations? And when we think longer term or even medium term, what are some of the big buckets where you see performance improving on the operations front. Anything that stands out, that's a low-hanging fruit opportunity?
David Sewell: Well, to answer the first part of your question, I'm probably one of the more impatient people you'll ever meet. So for me, I want everything tomorrow. So – but this is a journey. And so when I look at opportunities, as you mentioned, Phil, I think we just – we really – I really feel like we have a great footprint in our position, but we just have not fully integrated the business. And I've just been around a lot of acquisitions where once you fully integrate and capture the value of the scale and the operational efficiency, the supply chain efficiency, it is remarkable the margin expansion that, that can create as well as starting to improve your ROIC on the investments that you make. So I just believe – and we've developed what we call this WestRock operating system, that standardizes the critical metrics that we believe are just so important to run our business. It immediately identifies areas for improvement, and then we put rigor and process and tools to execute that. So we're going to be highly operationally focused now that all these assets are in place, and I think that's going to create a lot of value.
Alex Pease: Phil, my favorite slide in the slide document is Slide 7, where we walk through the details of what the transformation agenda looks like. And – these are all real. This isn't just sort of words on the page. We're going to go through this in depth when we get into our Investor Day. But I think the headline here is that we've got a very broad-based deep transformation agenda across all the levers of the P&L and that's what we're going to be driving as we push to a fundamentally different margin profile.
Phil Ng: Okay. Super. Thanks a lot guys.
Alex Pease: Thanks Phil. Have a good day.
Operator: Our next question comes from Mark Wilde from Bank of Montreal. Please go ahead with your question.
Mark Wilde: Good morning, David. Good morning, Alex.
Alex Pease: Good morning.
Mark Wilde: I wondered just to start and following on this discussion around Longview, can you just share some thoughts with us on the level and direction of capital spending over the next two or three years where you see the biggest opportunities to put capital to work to improve returns?
Alex Pease: So typically, our capital diet is in the order of $1 billion. So I think we've provided guidance of $900 million to $1 billion this year. I think 1 of the things that both David and I have a lot of passion around is making sure we're deploying just for sake of round numbers, deploying that $1 billion to the highest return projects and really focusing the company on ROIC. So of course, there's the basic sustaining and health and safety investments that we have to make, but then there's these growth investments. And I think as we think about growth and productivity investments, the Longview plant is a perfect example. We're going to build a factory of the future, leveraging all of the world-class automation, digital technologies. We have another investment that we didn't talk about in the script around preprint capacity. And bringing digital into preprint to reduce the setup times and allow shorter runs and really deliver on what our customers are asking us for. So as we think about capital deployment going forward, it's going to be all about how do we deploy our $1 billion of capital to the highest return projects. And how do we look at the portfolio and where there's things that aren't delivering on the return threshold, consider alternative uses or alternative disposition of those assets. So obviously, this is an extremely capital-intense business, and I think there's work that we can do to make sure we're getting the best return on the investments that we're making. And David can talk more about the strategy for that.
David Sewell: Yes. Well, I think Longview – Mark, to your point, is a great example of that. I mean, the easy thing would have been to, okay, is there an independent box plant in the Pacific Northwest, we could buy to help with our increasing capacity needs. That would have been a lower return, much lower than building this 400,000 square foot box plant, the way we want to build it in the exact geography that we want to build it, lowers our cost, it sets us up for exactly how we want to run an incredibly efficient box plant and be close to our customers at the same time. So the ROIC or the return on that is going to be much higher than if we were just to make an acquisition in the Pacific Northwest. So that's kind of how we're thinking about it.
Mark Wilde: Okay. That's helpful. I guess for a follow-on, I'm just curious, David, you've been at WestRock for about 10 or 11 months now. Any thoughts on potential changes in how you manage integration or how the industry handles things like national accounts, which are often an area of debate within the sector.
David Sewell: Yes. I'm smiling, Mark. It's been interesting coming into this industry. Obviously, I came from a different industry. I think there's opportunities, especially as we continue with innovation and sustainability in our machinery business and everything we can provide, especially the national account platform that value solutions. And I think there's opportunities how we commercially look at value selling, which gets us out of some of the cyclicality of margins. So we're going to look very hard at that in how we partner with customers to look at that, to reduce our cyclicality. And if I look at the integration piece of it, I may have mentioned this before, but I always believe when you make acquisitions, you have to make one plus one equal three. You do it for a reason, and it's to be significantly better and to bring better shareholder value and better customer value. And so we brought all of these acquisitions together, but we haven't fully integrated them. So we're not quite at one plus one equals three, which is why all the efforts we're doing, which we are confident we're going to be able to execute. We're going to get to three, and that's going to be helping our not just our growth, but our margin and ROIC profile.
Mark Wilde: All right. Very good. Good luck through the balance of the year. I'll turn it over.
David Sewell: Thank you, Mark.
Operator: Our next question comes from Lars Kjellberg from Credit Suisse. Please go ahead with your question.
Lars Kjellberg: Hey, good morning. I just want to turn back to – you mentioned quite frequently sustainable packaging solutions. And it's curious to say this has been a relatively low-growth business in the past, sustainable packaging may be pathway to accelerate growth similar to e-commerce. I'd like to know if you can comment on how you see your pipeline building in that business and how you view that potential opportunity in the light of what you've seen in e-commerce, if you are to compare the two. And what you need to do, if anything, to capture that potential growth?
David Sewell: Yes. Thanks so much for that question, Lars. I think the sustainability piece is something that is one of the most exciting things about this industry because of the environmentally friendly sustainable solutions that we provide. Our run rate on – and we measure our plastics replacement opportunities. Our run rate every quarter continues to improve on business that we capture in plastics replacement and really sustainable solutions is the way I would say it as well. So we – as we started measuring this, even last year, we had a run rate of about $250 million. We – then a couple of quarters later, our run rate improved to $280 million. And right now, we're just below $300 million. I mean it just sequentially continues to grow. And then you throw in the paper side of it, that's just on the packaging. And now paper with kraft paper, as I mentioned earlier, with 10 states banning plastic shopping bags. We mentioned last quarter, I believe the Tim Hortons program we have in Canada for a completely sustainable cup, which could translate across multiple applications in food service. It's just an incredibly exciting opportunity. And as we see the available – I mean the plastics market overall is well over $50 billion. We've broken it down to what is the attractive market that we believe we have a very good solution for. And we see that at about $6 billion to $7 billion.
Lars Kjellberg: Got it. And do you need to change anything to capture that opportunity?
David Sewell: Yes, we're really – no, you're absolutely right, Lars. What we're really doing is investing in our innovation and R&D labs. We are finalizing the expansion of our pilot plant in Richmond, Virginia to pilot all of these programs with customers that we're partnering with to develop solutions because we have a ton of products. We're hiring a lot more on the R&D side on barrier properties because we think barrier properties is really a key to packaging innovation for sustainability. So we are investing in this, and you'll continue to see expansion of that investment as our opportunities continue to grow.
Lars Kjellberg: And then the – just a question you had about how do you view this relative to what e-commerce has delivered from 0% to 15% of the business, where do you see this potentially being in 5 to 10 years from now?
David Sewell: I apologize, I'm not sure I heard your question. You said e-commerce?
Lars Kjellberg: Yes, if you compare this opportunity to what e-commerce has delivered?
David Sewell: E-commerce is an interesting market for us. I mean it's an important market. It's definitely significantly higher than it was pre-pandemic levels, but I think you're starting to see a little bit of a plateau in e-commerce from some of the major players. And the reason for that, I think, is also because the work we're doing with them to get the right package size, we have things like pack on demand, where we – where there's not a lot of waste of airspace in the packaging. So there's less packaging. But if you think about the omnichannel and the number of people that are getting into to e-commerce, that just continues to grow. But I think there's innovation opportunities in e-commerce, too. When we think about smart packaging and the connectivity we have of our packaging and supply chains and the interaction with customers. So we're also looking at an innovation side in that regard. So e-commerce is a really important growth market for us. Is it as high as plastics replacement. I – it's hard to say for me. I get excited about both of them.
Lars Kjellberg: Got it. Thank you and good luck.
David Sewell: Thank you.
Operator: Our next question comes from Mike Roxland from Truist. Please go ahead with your question.
Mike Roxland: Great. Thanks very much. Congrats David, Alex, James really good on the transformation that you're proceeding with.
David Sewell: Thanks, Mike.
Mike Roxland: Just a quick question, Dave, on the transformation plan. I know Alex referenced Slide 7 how we get – that's the key slide, highlighting the various phases of that plan that you're pursuing, Realizing that you want improvement as soon as possible. Can you give us a rough sense of timing to complete this plan? And it is one year out, two years out? How should we think about those various phases that you've highlighted and your timing to completing each one?
David Sewell: Well, it's a really good question because there's so much – there – we believe there's so much opportunity. So there's projects we've completed that we'll start to see the benefit for this year. There are some big projects that we probably won't see the material value until next year. But we are measuring it and at our Investor Day, we'll kind of walk through each bucket, as Alex talked about, what we see the value of the timing of that. But our expectation is to make continuous progress sequentially. Some of the bigger projects might take a year, 1.5 years, but there is a lot of low-hanging fruit that we're going to take advantage of starting this year.
Mike Roxland: Got you. So completion if some of the larger products do take one year, 1.5 years, the plan itself from our vantage point, should be complete by fiscal 2024, roughly?
Alex Pease: I guess the way, Mike, I might tackle the question is, as with any continuous improvement journey, there's never a completion, right? So we're – we're going to continuously optimize the company, and we're going to drive a fundamentally different culture around continuous improvement, focus on ROIC, focus on margin, extremely disciplined capital allocation. So I think that's part of the change that David is driving. When we get to Investor Day, I think we're going to be prepared to lay out a target to 2025. And we're not going to wait until 2025 to unveil what the improvement is. There's going to be as I mentioned in the guidance, there's going to be improvement sequentially over the course of the year where we get to more historical margins. And as we get into next year and beyond, we're going to close the gap on our competitors. We're going to divest aspects of the portfolio that aren't meeting our return thresholds. So I think we're going to lay out for you a very clear vision for what the next call it, three years looks like with very tangible milestones that you can hold us accountable for. And there's going to be near term and long term. And then once we get there, we're not going to stop.
Mike Roxland: Got it. Now I understand. I appreciate the additional color. Just 1 last question. Realizing that you are going to provide these details later at the Investor Day in May. Is there any incremental color you could provide around this WestRock operating system even at a very high level? It's reference a couple of times during the call. I wonder – and David, you mentioned said it is truly unique and it really does differentiate WestRock from others. So just any color at a really high level that as to this operating system and what is unique about it? And how it allows WestRock to operate differently than it had and certainly versus peers? Thanks.
David Sewell: Yes. Thanks, Mike. It really starts at the foundational level of measuring the right things and measuring them the right way across the company. So our vision of growth, margins, return on invested capital, investing in our people and their training growth and safety. So what are the right metrics for that to drive what we're trying to drive. So we have established that. And now once we have that established, we immediately identify gaps to what is world class and how – to Alex's point, how do we continuously improve across all of these metrics that we've now identified. So we have, as we mentioned, the transformation team in place, we have rigor around. We've identified the projects that are going to drive that value and we've put rigor, processes and tools to execute it, and we measure it, we review it, we change compensation plans on it, and that's going to drive our transformation. We'll share more detail about our new operating system at our Investor Day, but it's probably more operationally focused than we've been before. And it also has a commercial excellence focus to it. So we're excited to implement it, and it's going to really help drive the vision that we have for the future.
Mike Roxland: Thank you. Good luck for the rest of the year.
David Sewell: Thank you.
Operator: And ladies and gentlemen, with that, we're going to close today's Q&A session. I'd like to turn the floor back over to the management team for any closing remarks.
James Armstrong: Thank you for joining our call today. If you have any questions, please give me, James Armstrong, a call or shoot me email. Look forward to talking to you next quarter. Thank you.
Operator: And ladies and gentlemen, with that, we'll conclude today's conference call. We do thank you for joining today's presentation. You may now disconnect your lines.